Operator: Good morning, ladies and gentlemen, and welcome to Ardmore Shipping's Second Quarter 2023 Earnings Conference Call. Today's call is being recorded, and an audio webcast and presentation are available in the Investor Relations section of the company's website, ardmoreshipping.com. [Operator Instructions] A replay of the conference call will be accessible anytime during the next two weeks by dialing 1 (877) 344-7529 or 1 (412) 317-0088 and entering passcode 8126419.  At this time, I will turn the call over to Anthony Gurnee, Chief Executive Officer of Ardmore Shipping. Please go ahead. 
Anthony Gurnee : Good morning, and welcome to Ardmore Shipping's Second Quarter 2023 Earnings Call. First, let me ask our Chief Financial Officer, Bart Kelleher, to discuss forward-looking statements. 
Bart Kelleher : Thanks, Tony. Turning to Slide 2. Please allow me to remind you that our discussion today contains forward-looking statements. Actual results may differ materially from those projected in the forward-looking statements. Additional information concerning factors that could cause the actual results to differ materially from those in the forward-looking statements is contained in the second quarter 2023 earnings release, which is available on our website.  And now I would like to turn the call back over to Tony. 
Anthony Gurnee : Thank you, Bart. Let me first outline the format of today's call. To begin with, I'll discuss highlights, capital allocation and current market conditions, after which Bart will provide an update on tanker fundamentals and on our financial performance, and then I'll conclude and open up the call for questions.  So turning to Slide 4 for highlights. We're seeing MR and chemical tanker TCEs continuing at elevated levels, well above our cash breakeven rate, which now stands at $14,000 per day.  Rates have demonstrated resilience, both during the second quarter, which was impacted by above-average refinery maintenance for this time of the year and into the third quarter during normally weaker summer months.  Second quarter results show adjusted earnings of $23.7 million or $0.57 per share, reflecting the robustness of these markets, which are continuing into the third quarter. Our MRs earned $27,500 per day for the second quarter and with 45% booked so far in the third quarter, we're at $26,100 per day. Our chemical tankers on a capital adjusted basis earned $27,500 per day for the second quarter and with 63% booked so far in the third quarter at $23,000 a day.  Meanwhile, Ardmore is executing on its capital allocation policy as intended. In particular, we continue to delever, thereby enhancing the quality of our earnings and the substance behind our net asset value. And we today declared a quarterly cash dividend of $0.19 per share, consistent with our policy of paying out 1/3 of adjusted earnings. Overall, Ardmore continues to benefit from its strategic focus and optimization of its spot trading performance, while tightly managing costs and lowering our breakeven rate.  And as a final important point on this slide, our entire fleet is exposed to the spot market, including our time charter in vessels, allowing Ardmore to fully capture the benefits of the elevated market and seasonal strength we anticipate in the coming months.  Turning now to Slide 5 on capital allocation policy. We remain committed to our long-standing policy, which has been and will continue to be our guidepost. Given our robust financial position and our strong operating performance, we now have the ability to pursue all of our allocation priorities simultaneously, namely maintaining our fleet over time by continuing to invest in exciting new technology, reducing carbon emissions, but also generating strong incremental returns, something that Bart will speak about in more detail later on.  Continuing to delever, currently now down to 18% on a net debt basis; evaluating potential accretive transactions in a patient and disciplined manner; and returning capital to shareholders, currently in the form of scheduled dividends comprising 1/3 of adjusted earnings.  And it's important to consider the philosophy that underlies our capital allocation policy. But this is a highly cyclical industry where financial strength can pay off hugely if it permits well-timed investment and growth, but also mindful of the fact that we must balance reinvestment in growth with returning capital to shareholders.  I'm moving now to Slide 6. The near-term outlook continues to be very positive. Based on existing and anticipated conditions, we expect the market to build through the second half of the year. The EU embargo is continuing to positively impact the charter market with the reordering of trade, adding significantly to tonne miles.  Notably, an increased number of product tankers carrying Russian cargo resulting in fewer ships trading in the global fleet, we believe this bifurcation of trade is persistent and ultimately creates more inefficiencies in the product tanker market, thus supporting stronger rates.  In addition, near-term demand drivers are robust. Global oil demand is forecast to grow by 2% this year with a lot of that coming in the second half. Refineries around the world are ramping back up following above-normal maintenance activity. And we're seeing resilience in U.S. refined product exports and believe that product exports from China will also increase in the second half.  Finally, as Bart will discuss, it's important to highlight that conditions are set for near-zero net fleet growth for at least the next two years.  So moving to Slide 7, we will discuss in more detail how the EU embargo is impacting the product tanker market. As highlighted in the chart on the lower left, EU diesel inventory is built up ahead of the implementation of the embargo in February of this year. And as a consequence, imports subsequently declined as these stocks have run off.  As inventory levels now normalize, we believe that product tanker tonne-mile demand from this important region is poised to increase significantly, particularly given that EU product imports are now sourced very far away as compared to before the war.  As you can see from the chart on the lower right, this tonne-mile impact appears to be accelerating. Looking at the orange line, you can see that May and June 2023 experienced similar diesel import volumes to the same period last year. Contrast this with the green bars over the same period, noting tonne miles have actually started to increase significantly. So while there's been a lag to the EU diesel import story, it's starting to take shape and should further support the overall market.  And with that, I'll hand the call back over to Bart. 
Bart Kelleher : Thanks, Tony. Building upon Tony's comments on market conditions, we will examine the industry fundamentals in more detail. Overall, the supply/demand dynamics remain highly favorable. On Slide 9, we discuss the significant supply/demand gap. Strong tonne-mile growth, which is highlighted in the green bars on the chart, is driven by the robust underlying fundamentals and further enhanced by the EU embargo, as Tony discussed in the last slide.  This has been a key driver in 2023, and there is also an anticipated full year impact for 2024. While there has been some specific new ordering over the quarter, which we will put into context on the next slide, the multiyear supply/demand gap remains wide, with shipyard birth availability limited to 2026 and beyond and the continued lack of clarity on emissions regulation and propulsion technology deterring incremental investment.  So overall, this minimal net fleet growth over a multiyear period, combined with increasing tonne miles, we believe, supports prolonged market strength.  Moving to Slide 10, where we highlight how the low product tanker order book contrast sharply with the rapidly aging fleet. As discussed, supply fundamentals remain highly supportive. Although we have seen some moderate recent ordering of product tankers, this represents only a fraction of the natural replacement cycle, the aging fleet.  With only 16 million deadweight tonnes on order versus nearly 70 million deadweight tonnes within the scrapping age profile in the next five years. And specifically for MRs, the gap is even more pronounced. The current MR order book stands at a low 5% of the existing fleet and the overall product tanker order book is at 9%. It is important to point out that a large portion of this ordering is for LR2s, which is the exact same vessel type as an Aframax crude tanker simply with coated tanks to enable it to also trade refined products.  Analyzing the combined Aframax and LR2 fleets, net fleet growth is forecast at near-0 levels. This implies that an increased proportion of LR2s, most likely older vessels, naturally transition to trading crude to cover the shortfall in Aframax tankers. This is a trend we are already seeing in the current market.  On Slide 11, we depict the strong underlying demand growth in the product and chemical tanker markets. As we've emphasized throughout, the EU refined product embargo has resulted in a persistent reordering of the global product trade driving demand. And the IEA is projecting continued growth in underlying oil consumption with 2023 forecast at almost 3 million barrels per day above prepandemic levels.  Meanwhile, the long-term trend of refinery dislocation between East and West will continue to have a positive impact on product and chemical tanker tonne miles, providing an additional layer of growth. Overall, with such strong underlying data, our demand outlook is very positive.  Moving to Slide 13. Ardmore continues to build upon its financial strength. Net leverage at the end of June stood at 18% with total net debt of $110 million. As a reminder, the chart on the bottom left notes that we have reduced our cash breakeven levels by $2,500 per day in a rising interest rate environment as a result of our effective cost control, reduced debt levels and access to revolving debt facilities.  In addition, we have a strong liquidity position with $50 million of cash on hand and $200 million in undrawn revolving facilities at the end of the quarter. As always, Ardmore is focused on optimizing performance, closely managing costs in this inflationary environment and preserving a strong balance sheet.  Turning to Slide 14 for financial highlights. As noted, we are very pleased with our performance as we report results of $0.57 per share for the second quarter. We are correspondingly reporting strong EBITDAR for the quarter and continue to frame EBITDAR as an important comparable valuation metric against our IFRS reporting peers.  Please note that there is a full reconciliation of this presented in the appendix on Slide 25. Although our favorable floating to fixed interest rate swaps will roll off this summer, we have reduced our debt level significantly to mitigate the impact of rising interest rates. And please also refer to Slide 26 in the appendix for our third quarter 2023 guidance numbers.  Moving to Slide 15. As Tony mentioned earlier, we're making some exciting investments in our fleet to further optimize operating performance and improve earnings. This year, during our 8 scheduled drydocking periods, we will also be installing scrubbers and performance-enhancing technologies as well as ballast water treatment systems.  Overall, we plan to install nine second-generation carbon capture-ready scrubbers on board our vessels in 2023 and early 2024. All of these elective CapEx projects, including new performance-enhancing technologies, have relatively short payback periods and IRRs ranging from 20% to over 100%.  Furthermore, we are excited to announce that we have started rolling out Starlink technology across our fleet to provide industry-leading connectivity, benefiting crew welfare and facilitating enhanced real-time monitoring of vessel performance.  Also noteworthy, we had very strong on-hire availability for the second quarter as a result of the continued close coordination of our teams at sea and onshore.  Moving to Slide 16. Here, we're highlighting the significant operating leverage. This is what makes the shipping business exciting. As you can see in the chart, for every $10,000 per day increase in TCE rates, earnings per share is expected to increase by approximately $2.30 annually, with free cash flow increasing by nearly $100 million annually as well.  As depicted, the business inherently has significant operating leverage to even stronger market conditions. And with supportive supply-demand fundamentals, we are very excited about our business and its potential.  With that, I'm happy to hand the call back to Tony and look forward to answering questions at the end. 
Anthony Gurnee : Thank you, Bart. So to summarize, first, regarding the market. TCE rates are continuing at elevated levels, despite of being in what is usually a slow summer period, well above our cash breakeven and with seasonal strength anticipated in the coming months.  The EU embargo is now adding meaningfully to tonne mile demand growth and the wide supply-demand gap supports strong product and chemical tanker fundamentals for at least the next two years.  And regarding the company, we continue to produce strong TCE results, both on a relative and absolute basis, while lowering our breakeven in an otherwise inflationary environment, which is now down to $14,000 per day. And given our financial strength and strong operating performance, we're now able to pursue all of our capital allocation priorities simultaneously, including the payment of dividends, delevering and investing in energy savings upgrades, which not only reduce our carbon footprint, but are also great investments in their own right and are meaningfully improving performance.  And with that, we're pleased to open up the call for questions. 
Operator: [Operator Instructions] Today's first question comes from Jon Chappell with Evercore ISI. 
Jonathan Chappell : Bart or Tony, let me start with the capital allocation policy. Pretty clear on Slide 5, how you laid out the different -- four different avenues that you're pursuing. I don't recall your leverage ever being this low, I don't recall your liquidity ever being this high and yet, if we annualize the seasonally low dividend, you're still at the mid-single-digit yield and the stock trades at one of the biggest discounts probably in the peer group. At what point does the fifth element come along?  And I know I'm risking sounding like I write for a financial blog, but it does feel like your shares are probably the best use of capital today. Does that ever become part of this capital allocation mix? 
Bart Kelleher : Thanks, Jon. This is Bart. I'll answer, and then Tony can chime in as well. But I think when we set the capital allocation policy and reinstituted the dividend, we were focused on that as a sustainable level through the cycle. And to your point, where we can address the -- all of the pillars, the 4 pillars of the capital allocation policy simultaneously, we see continued runway for delevering to continue to bring down our breakeven and increase the quality of earnings and also to continue meaningfully investing in our fleet and then also always exploring accretive growth opportunities, but certainly with discipline and patience.  And as we've mentioned in the past, we're happy to return additional capital to shareholders beyond the 1/3 dividend we've stated, and our Board supports this. And that would be if we built further cash position likely in the form of a special dividend, and we've consistently reiterated that messaging in the past. 
Anthony Gurnee : Yes, I'll just maybe add, Jon, that at the moment, 1/3 by formula is being paid out to investors; more than 1/3 is going into CapEx, mostly performance upgrades; and then what's left is there to continue delevering. I don't think we'll continue delevering at nearly the same rate as we did last year. And it's a good ongoing debate about dividends versus buybacks. But at the moment, we're focused on dividends. So... 
Jonathan Chappell : All right. Just a quick follow-up to that on the investment side. I mean, obviously, you're doing a lot to your current fleet and thinking about the next evolution of regulations. But we've been hearing from some other owners in a more public setting that tanker asset values are "too expensive." So as investment in either new technology or secondhand ships for the immediate accretion kind of below return threshold at this point? 
Anthony Gurnee : If I understand the question, I guess, at the moment, it's pretty clear that pricing both through newbuildings and secondhand is pretty frothy, but we do keep on looking for pockets of opportunity, and we will, whether it's individual ships or blocks. Meantime, we're very pleased with the opportunities that we found to invest in our own fleet and improve cash flow. 
Jonathan Chappell : Okay. My second question is more market-related. I think it was really interesting to show the inventories down in Europe. The calendar is getting close to winter again. This will be the first winter with the true sanctions in Europe. As you think about or maybe as you talk to your customers about the next 3 to 4 months and preparing for another winter with war on the continent, do you think that, that the market is set up in a similar manner to last winter or is it even maybe coiled a bit tighter given that the sanctions are now in effect and then the inventories are drawing? 
Anthony Gurnee : I mean if you frame it up that way, it's probably coil tighter because you are going into a seasonal increase in demand and the embargo was in place and inventories are still -- are back to relatively low levels. 
Operator: [Operator Instructions] Our next question today comes from Omar Nokta with Jefferies. 
Omar Nokta : I just wanted to follow up maybe just on the market and then also on the capital allocation. Just first on the market. It seems that the guidance you've given us is fairly strong, 45% on the MRs for 3Q at nearly $27,000. And that seems to be above market index averages. And so just wanted to get your sense, how did you -- how do you view this rate that you've achieved thus far for the quarter? Is this an outperformance on the part of Ardmore? Are the indexes off or is it a bit of both perhaps? 
Anthony Gurnee : We never really know about our relative performance until everything else comes in. So it's -- we don't even have a sense of that for 2Q yet. But for the last while, we've been doing quite well. I don't think there's necessarily anything wrong with the indexes. I mean it's -- yes, it's -- yes, so I think our performance is reflective of the overall market. And if it's not coming through clearly in the indexes we're looking at then we'll have to think about that. 
Omar Nokta : Okay. All right. No, that's fair. I guess you guys are first and leading off, so a question maybe for -- should have been later in the earnings season. The -- and then just maybe kind of thinking about the capital allocation, following up on Bart's comments. What is it -- you want to pay down debt further, which is obviously great, you want to lower your breakeven.  And in terms of the special dividend, what does it take for the balance sheet -- for you, what does it take in terms of debt reduction for you to feel comfortable to pay out a special? And all else equal, if the debt doesn't change from here and you have some banner quarter, say in 4Q, is that good enough to pay out a special or do you want to get the debt down to a certain level before you entertain the idea of the special? 
Anthony Gurnee : I think we're taking it kind of as it comes. We're -- we didn't expect we'd get our leverage down at this level. We had hoped that we find some incremental investment opportunities, but we're being disciplined in that regard. So -- but I think it's important to score the fact that we're very happy and the Board would be very happy to pay a special under the right conditions, but we can't predict that or give any guidance. So... 
Operator: And ladies and gentlemen, this concludes our question-and-answer session and today's conference call. We thank you all for attending today's presentation. You may now disconnect your lines, and have a wonderful day.